Operator: Good day and welcome. [Operator Instructions] And please note this event is being recorded. And now, I would like to turn the conference over to Daven Bhavsar. Please go ahead.
Daven Bhavsar: Thank you, and good morning. Thank you for joining us today. With me today are Bill McMorrow, CEO; Matt Windisch, President; Justin Enbody, CFO; and Mike Pegler, President of Europe. On this call, we refer to certain non-GAAP financial measures including adjusted EBITDA and adjusted net income. You can find a description of these items with the reconciliation of the most directly comparable GAAP financial measure and our fourth quarter 2023 earnings release which is posted on the Investor Relations section of our website. Today's call is being webcast live and will be archived for replay. The replay will be available by phone for one week and by webcast for three months. Please see the Investor Relations website for more information. Statements made during this call may include forward-looking statements. Actual results may materially differ from forward-looking information, discussed on this call, due to a number of risks, uncertainties and other factors, indicated in reports and filings with the Securities and Exchange Commission. I would now like to turn the call over to our Chairman and CEO, Bill McMorrow.
Bill McMorrow: Thanks, Daven, good morning everyone and thank you for joining us today. Yesterday, we reported our results for the fourth quarter and the full year of 2023 which highlighted further expansion of our investment management business, NOI growth across our global multifamily portfolio and solid progress on completing and stabilizing our newly developed assets, including almost 4,000 multifamily units in the Western US and Dublin. Our investment management platform outperformed expectations in 2023. Fee-bearing capital grew by an impressive 42% to a record $8.4 billion. The significant growth was driven by a 148% increase in our credit platform, which benefited from the $4.1 billion construction loan portfolio acquisition, which was the largest single transaction in our company's history. The portfolio is heavily weighted to multi-family development projects. The most important benefit of the transaction was the exceptional team of 38 people that originated the loans and join KW. We currently have $1.3 billion of new construction loans in our closing pipeline, all of which are multi-family properties and are expecting to originate approximately $3 billion of total new loans in 2024, depending on market conditions. Our financial results were impacted by noncash theoretical fair value adjustments related to assets that are performing well and held in partnerships with very large sovereign wealth funds and financial institutions. However, excluding the impact of fair value investments, adjusted EBITDA would have totaled $472 million in 2023. In December, we announced an 18-month cost reduction plan, aimed at reducing total overhead costs by $15 million to $20 million annually, as well as a noncore asset sale program that is expected to generate over $550 million of cash to KW. Thus far, two months into this year, we have either implemented or identified approximately 70% of the cost cuts and have either completed or under contract in over half of the asset sales, which would generate cash to KW of $320 million and GAAP gains on sale in excess of $100 million. I am proud of the progress we have made across a number of our initiatives and importantly, how we are positioned -- how we have positioned the Company to take advantage of future opportunities that may arise in 2024. Over the last three decades, we have been global investors in real estate equity and debt. And now with our new construction lending team, we can provide capital to any part of the real estate capital structure. Our people unable us to continue deploying capital from KW and our partners into new investments, which will generate significant risk-adjusted returns, while global real estate investment activity declined between 60% to 70% in 2023, we anticipate more opportunities in 2024 as inflation has clearly eased and there is a high likelihood of the Fed pivoting to lower interest rates. We have very minimal debt maturities in 2024 and has repeatedly happened at KW periods of this location have presented us our greatest growth opportunities. As such I'd like to highlight a few priorities for KW this year. First, we are focused on growing our global credit business. In December, we raised an additional $2 billion of new external capital commitments for our debt platform, which totaled $6.6 billion in outstanding loans and future funding commitments with approximately $4 billion of dry powder for future origination. We are well-positioned as one of the very few active multifamily construction lenders in the market today. Second, we look to find new opportunities to grow our stabilized multi-family portfolio, a large part of this growth will be driven by the near-term stabilization of the approximately 4000 units. That is expected to add $43 million of estimated annual NOI to KW. We are also entering a period of time that could present and increase investment opportunities from financially distressed owners as upcoming debt maturities will significantly impact borrowers with floating rate debt; and third, we are planning on growing our industrial assets now as assets under management, which today totals over 11 million square feet of leasing trends remain favorable. We added to our logistics portfolio in the fourth quarter in both the United States and in Europe. With that, I'd like to turn the call over to our CFO, Justin Enbody to discuss our financial results.
Justin Enbody: Thanks Bill. I'd like to start by covering some of the key drivers of our Q4 financial results. Consolidated revenues improved to $140 million in the quarter and $563 million for the year, an increase of 4% compared to 2022 and 24% compared to 2021. Investment management fees totaled $62 million for the year, an increase of 38% from 22 and up 75% from 2021, including our co-investment portfolio our share of recurring property NOI and fees totaled $131 million in the quarter or $524 million on an annualized basis. Similar to trends we saw in Q3, our unconsolidated investments, which are largely held at fair value were impacted by non-cash adjusts. In Q4, we saw valuations depreciate by 4% resulting in $176 million of fair value reductions with estimated values being impacted by higher implied cap rates as a result of the overall interest rate environment. However, since year end the outlook remains favorable as we believe we are entering a period of time with a more supportive backdrop with expected improvements in both inflation and the cost of capital. Our dispositions remained muted in the quarter with a focus on non-core assets. We sold a number of retail assets and one smaller asset office asset in the UK. These sales generate $83 million of cash to Kennedy-Wilson. In total, we had a GAAP net loss of $1.78 per share, which includes non-cash items such as depreciation and fair value adjustments, totaling $1.54 per share. Adjusted EBITDA totaled a loss of $129 million in Q4. Excluding the non-cash fair value related reductions, our adjusted EBITDA would have been $46 million in Q4 were $472 million year-to-date. Turning to our balance sheet and debt profile, at quarter end, we had $314 million of consolidated cash and $150 million drawn on our $500 million line of credit. Our share of total debt is 99% fixed or hedged with a weighted average maturity of 5.3 years. As of year end, our interest rate hedges have a weighted average maturity of 1.6 years and a weighted average strike of 2.6%, which is well-below today's rates, continue to collect cash as a result of our hedging activities, which is not reflected as an offset to our interest expense in our income statement. In Q4, we collected $13 million of cash bringing our year-to-date total to $38 million of cash received from our interest rate hedge. Our effective interest rate of 4.4% remained essentially flat from the end of 2022 and reflects 60 basis points of savings over our contractual rate due to our hedging strategy. Our debt maturities in 2024 are limited, representing 4% of our total debt. Over 80% of the maturities relate to fixed assets. In the US, we have two multifamily assets maturing with agency companies. One is on track to refinance in Q1, the second matures in November. In Europe, there are four key maturities and one of which we anticipate paying off totaling $48 million using the proceeds from our asset -- retail asset sales which are largely complete already. We have a loan maturing in May, which we are in the process of refinancing and the remaining two maturities are not until November and December. And with that I'd like to turn the call over to our President, Matt Windisch to discuss the investment portfolio.
Matt Windisch: Thanks, Justin. Starting with our multifamily business which is largely suburban and totals 38,000 units. Our portfolio produces $270 million in estimated annual NOI to KW which represents 55% of our stabilized portfolio. Our multifamily development and lease-up portfolio totals an additional 38,000 units, which once stabilized we expect to add $43 million to estimated annual NOI by the end of 2025. Globally, same-property revenue grew by 4% with NOI up approximately 3% in Q4, as we continue to see many of the same trends from the prior quarter. In the US, we saw seasonal leasing trends pick up in the fourth quarter with renewal leasing spreads totaling 3.3% and loss to lease totaling approximately 2% at quarter end. We are encouraged with the improvements we saw in January with renewal spreads increasing to 3.8% and asking rents of 2%. In our largest apartment region, in the Mountain West, we saw occupancies improved by 1.5% leading to revenue growth of 3% and NOI growth of 2%. Our Mountain West assets are diversified across six states Colorado, Nevada, New Mexico, Utah, Arizona and Idaho. Our Mountain West portfolio's average rents are priced at an attractive $600 and we believe these markets will continue to draw residents seeking a more affordable higher quality of life. In our California portfolio, we made great progress working through delinquencies and re-leasing units while also seeing lower levels of bad debt. This led to strong revenue growth of over 5% and NOI growth of 4%. Overall, we have recaptured approximately two-thirds of our units from nonpaying tenants in 2023 with our California assets still seeing elevated levels of legal and turnover costs and currently having a loss-to-lease of 4%. The region is set up for further NOI growth as we work through the remaining delinquencies. Overall, we believe renter fundamentals in the US remain healthy. The high cost of homeownership and continued household formation will drive further demand for rental housing, while a noticeable decline in construction starts should moderate the supply side. The stats I just walked through however run contrary to the change in fair values that were reported on some of our multifamily co-investment properties in 2023. To give an example we have a nine property apartment portfolio in which we sold a 49% stake to a large institutional investor in 2021. Since that time, the NOI on those assets has grown by 17%. And the operating cash flow after debt service on our 3.62% fixed rate debt with an average maturity of 5.5 years has grown by more than 20% including growth of 10% in 2023 alone. However, due to increases in implied cap rates, off of a limited transaction data and based on third-party appraisals, we took a $40 million non-cash mark-to-market loss on these assets during 2023. We have no intention to sell any of these assets in the short term, as we continue to grow the cash flows and complete the business plan. At our Vintage Housing affordable portfolio, we saw strong revenue growth of almost 10% driven by increasing levels of area median income resulting in a real robust NOI growth of 7%. In Q4, we stabilized 161 unit property, which was the fourth vintage property stabilized in 2023. We have another 1600 units in our development pipeline which will grow the portfolio to 12,000 stabilized units which is more than double than the 5,500 units we initially acquired back in 2015. There continues to be a strong need for affordable housing in the country. While our developments routinely have long wait list of potential renters. As such we continue to explore new opportunities to grow our vintage portfolio. Moving over to Dublin, our portfolio there remains close to full at 97% occupancy at year end. Last year we delivered almost 800 new units, which are over 50% leased today and we remain on track to deliver another 230 units next month. Our leasing on these new developments continues to perform ahead of our business plan as a result of the significant structural undersupply of rental housing in Dublin and the continued growth of the Irish economy. Turning to our office portfolio our office NOI is largely derived from our high-quality assets located in Dublin as well as in the U.K. We saw strong performance in our Dublin stabilized portfolio with occupancy of 95% and same property NOI increasing by 6% due to successful rent reviews which as a reminder has a unique feature allowing it mark-to-market on rents during the lease term. Excluding our development asset, our stabilized portfolio in Dublin totaled nine properties with very limited space available with the majority of the assets 100% occupied. Overall, same-property revenue and NOI in our European office portfolio was up slightly in the quarter, which contributed to 2% NOI growth for the year. Our stabilized portfolio in Europe is well leased to a solid roster of tenants with a weighted average lease term of 7.7 years to expiration and healthy occupancy of 94%. In the U.S., in Q4, we stabilized an office asset in suburban Los Angeles adding approximately $5 million to estimated annual NOI. In total, our consolidated U.S. office portfolio accounts for only 6% of our total estimated annual NOI. Now, transitioning over to the key platforms within our investment management business, starting with credit. As Bill mentioned, our credit platform grew by an impressive 148% in 2023 and today represents 56% of our total fee-bearing capital. We have successfully on-boarded the 38 person team from Pac-West who are now fully vertically integrated and working through a pipeline of over $1 billion in new potential construction loan opportunities with a focus on the multifamily sector. The platform's economics continue to be very attractive. KW's ownership interest in these new loans is 2.5% and the returns have benefited from the high interest rate environment. Today, we are able to generate unlevered returns including fees on our invested capital of over 20%, while lending to very high-quality borrowers at low leverage points. The team's long-term successful track record, strong relationships, and the lack of traditional lenders in the market positions us extremely well to deploy the $4 billion of dry powder and continue expanding this platform in 2024 and beyond. Along with our credit business, our industrial portfolio is another important platform within our investment management business. Fundamentals for our European industrial portfolio remain healthy with supply chain pressures undersupply in certain markets and continued strength in the occupational markets, all leading to strong demand. Our portfolio is over 98% occupied with the majority of our big vacant space under offer. We've also seen strong demand from our existing tenants to remain on our properties with tenants engaging and early discussions to extend their leases ahead of expiration. During the quarter, we added another asset to our EU industrial portfolio, which now totals $1.6 billion in assets under management. For the full year, we completed 78 leasing transactions delivering a 53% increase in rents, which was well ahead of our business plan. In-place rents are approximately 25% below market providing an opportunity for us to mark-to-market rents over the years ahead. Growing our industrial platform with our strategic partners continues to be a focus for us globally. Our European joint venture has over $1 billion in AUM capacity and we are monitoring a number of opportunities we hope to add to this platform. We also have over two million square feet of industrial in the US where our focus has been on small and mid-Bay properties with a significant embedded loss-to-lease. With that I'd like to pass it back to Bill.
Bill McMorrow: Thanks Matt. Fundamental fundamentals remain very strong within our multi-family credit and industrial portfolio. We have our best team of people we've ever had at KW, and we are partners willing to invest meaningful capital alongside KW capital. There should be tremendous investment opportunities as we move into the second half of 2024, driven primarily by debt maturities. We are also nearing completion on almost all of our development projects with minimal capital left to spend and converting these assets currently into cash-flowing properties. Our asset sale program is progressing very well. We are reducing overhead levels and our income streams from our investment management business and our property level NOI. are growing at solid growth rates. With that, I'd like to turn it over to Deven and open it up to any questions.
Operator: We will begin the question-and-answer session. [Operator Instructions] Our first question today is from Anthony Paolone from JP Morgan. Anthony, please go ahead.
Anthony Paolone: Thank you. I guess, my first question is you all are making progress on the dispositions and raising capital that you outlined I think back in December. But should we think about that is just capital that you want to harvest and redeploy? Or do you think we should expect a lower level of leverage for KW overall as we look out?
Bill McMorrow: Well I think, Tony, it's a combination of both, because some of these properties that we're disposing of have debt attached to them. So obviously when you're selling the assets you're going to pay off that debt. We have a cash plan for this year. That is going to allow us to not only lower our debt, but redeploy capital into new investment activities including like that went through with the debt business. Because if we're doing you know $3 billion to $4 billion for the debt this year 2.5% that's almost $100 million of capital. I did the math correctly. Sorry up. Yes it's about $85 million of the capital that we're going to deploy into the debt business.
Anthony Paolone: Yes. But I guess my question is thinking about like your view on leverage as a company. If we look through to just whether it's your co-investment, funds, wholly-owned assets like historically, I don't know maybe I've run you're 55%-60% levered, do you think that's still the right level over time? Or do you think you want to bring that down?
Matt Windisch: Hey, Tony, it's Matt. So I think, I'm just to emphasize what Bill was saying when we announced the plan in December and our use of these asset sale proceeds, I mean, one obviously is, to continue to fund and grow the business. In particular, the co-investment business, but another big part would be to potentially purchase our own securities as well as payoff debt including our line of credit. So I think doing a combination of both will enable us to bring the leverage down over that 18-month period of time.
Anthony Paolone: Okay. That kind of is going to go into my next question about just the stock at these levels like how does buybacks fit into just overall thinking about capital allocation?
Bill McMorrow: Yeah. I think Matt it was 2018. We authorized a $500 million share buyback program and out of that program we actually spent $375 million. And so we have $125 million worth of capacity left in that buyback program. And clearly, the stock along with other things like Matt talked about reducing debt and reinvesting. That is clearly an investment opportunity that we are focused on.
Anthony Paolone: Okay. And then just last one on this item just the dividend. You've maintained it at the current level, but also going into the idea of just preserving liquidity and having cash like how should we think about the dividend on a go-forward basis.
Bill McMorrow: Like I always say we review that every quarter, and our plan for this year, we're going to be generating significant amounts of cash flow from our disposition plan and from distributions that come out of our properties. But as I always say, we look at that every quarter and given the progress that we've made particularly on these asset dispositions. So we're early in the year, the Board felt comfortable continuing that dividend at its current level.
Anthony Paolone : Okay. Thank you.
Operator: And our next question comes from Josh Dennerlein from Bank of America Merrill Lynch. Josh, you may go ahead.
Josh Dennerlein: Yes, hey, everyone. Thanks for the time. Just wanted to ask about maybe first just like the trends that you're seeing in the Mountain West markets for your multi-family business and just it looks like maybe the rent growth slowing there from a market wise perspective. But then kind of thinking about your portfolio and how you do a lot of value add projects you might get like an uplift there. Just kind of can you help us think about the potential NOI growth across that part of the portfolio?
Matt Windisch : Yes, absolutely. This is Matt. So as I mentioned in my remarks, we think -- if you kind of start off with the affordability, so we're at $1,600 average rent. And that market which if you compare that to other markets in the Western U.S. as significant discounts. That all being said, I mean, there clearly has been, a higher level of supply that's come on recently in those markets, which has put some pressure on our ability to grow the rents at the pace we were growing them at over the past several years. I think the good news on that front is the level of supply going forward is dissipating in those markets. And so we're going to have, some of the best-in-class products, at affordable prices in markets that continue to attract people for, job growth and other factors. So, during the pandemic, those markets were obviously roaring, doing extremely well, and kind of outpacing the business plan. So we feel great about the portfolio, but the days of 10% rent growth there are probably behind us. But we think we can continue to compound and grow those rents over time. 
Josh Dennerlein: Okay. Appreciate that. And then maybe just turning to your office portfolio, I think you had a move out in one of your Bellevue assets during the quarter. Just kind of curious on, like, releasing opportunities there, how you're thinking about the asset, and then maybe there are any other kind of move outs we should be thinking about, prospects for re-leasing?
Matt Windisch : Yes. So Josh that was the main asset in terms of, vacancy within the U.S. portfolio. So we did have a tenant move out at the beginning of the fourth quarter. What I'd say there is we have a very, very low basis in that asset. We've owned it for a long time. Obviously, the Seattle market is challenged right now. That all being said, the leasing activity, kind of if you look at Q4 to even Q1 overall, has definitely picked up. And I think there we have the ability, just given our basis, to do deals. And so, we're confident that we're going to be able to get that property leased, over the next 12 to 18 months. And we've got the right team working on it, and we'll get it done. The other thing I'd mention is there's, one other building there that is currently occupied as part of that complex. And we're in discussions to potentially sell that asset and get cash that would, in essence, pay down the entire debt on that entire three-building portfolio. So we feel pretty good about that asset.
Bill McMorrow : Yes, I mean, Matt, the only thing I'd add, that asset came to us through a sale of an apartment building that we exchanged into that asset. So to add to Matt's point, we have an attractive cost basis in the asset. And it was somewhat of a, I don't know if I'd call it unique, but the tenant that left, it's an extremely large technology company based in the Seattle market that has built out their own campus. And so it had nothing, no reflection on the asset. It was just the business plan of that particular tenant. 
Josh Dennerlein: Thanks for the color, guys.
Operator: Thank you. [Operator Instructions] Our next question comes from Tayo Okusanya. Tayo from Deutsche Bank. Go ahead, please.
Q – Tayo Okusanya: Yes, good morning, everyone. A lot of positive commentary just around opportunities to grow the loan book. Again, you guys are one of the few names out there that actually have you know and have enough capital to do that, I'm assuming again you're going to price accordingly for that. But on the flipside, I wonder this capital stopped becoming too expensive for someone, who wants to take a loan and actually there's going to be less construction activity going forward, so less opportunities. So actually originate loans. Just kind of curious, how you think through those two things to help us kind of get a better sense of just I know how much the loan book could grow over the next 12 months.
Matt Windisch: Yes. Good question, Tayo. Yes. I mean, I'd say certainly, construction activity overall is, has reduced from where it was a couple of years ago. Obviously, rates are higher construction costs have gone up. So there's no question that housing starts as an example, are slowing. I think, if you think about that side of it, there's the flip side to that. If you look at the traditional lenders in the space, the regional banks of the world, some of the private credit funds that use back leverage work. We're doing this all unlevered, have had been less active in the market. And so, what we feel like is that the overall pie may be shrinking. But we think, with our expertise and the team we brought on from Pacific Western Bank and our reputation in the market, we're going to continue to get a bigger and bigger piece of that pie. So we feel confident, the pipeline kind of speaks for itself. We have over one billion, we've already signed up and we're in closing on. So we feel like we can continue to grow the book. I mean the other side of it too is, in terms of payoffs, some people who are looking for permanent financing are not paying off as quickly as we expected. And I think that's a good thing, because now we have fully leased properties that are still being, we're still getting paid construction loan spreads on those. And so I think in terms of the runoff of the book, it may be a bit slower certainly for the first half of this year.
Q – Tayo Okusanya: That's helpful. Thank you.
Operator: Okay. And this concludes our question-and-answer session. And I would like to turn the conference back over to Bill McMorrow for some closing remarks.
Bill McMorrow : Thank you, everybody. And as I will say too, we're always available any of us to out for any further follow up, with you. So thank you very much and have a great day.
Operator: And this does conclude the conference. Thank you for attending today's presentation. You may now disconnect and have a great day.